Operator: Good day, and thank you for standing by. Welcome to the Chemed Corporation First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.
 I would now like to hand the conference over to your speaker for today, Holley Schmidt. Please go ahead, Holley. 
Holley Schmidt: Good morning. Our conference call this morning will review the financial results for the first quarter of 2024 ended March 31, 2024. Before we begin, let me remind you that the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 apply to this conference call.
 During the course of this call, the company will make various remarks concerning management's expectations, predictions, plans and prospects that constitute forward-looking statements. Actual results may differ materially from those projected by these forward-looking statements as a result of a variety of factors, including those identified in the company's news release of April 24 and in various other filings with the SEC. You are cautioned that any forward-looking statements reflect management's current view only and that the company undertakes no obligation to revise or update such statements in the future.
 In addition, management may also discuss non-GAAP operating performance results during today's call, including earnings before interest, taxes, depreciation and amortization or EBITDA and adjusted EBITDA. A reconciliation of these non-GAAP results is provided in the company's press release dated April 24, which is available on the company's website at chemed.com.
 I would now like to introduce our speakers for today: Kevin McNamara, President and Chief Executive Officer of Chemed Corporation; Mike Witzeman, Chief Financial Officer of Chemed; and Nick Westfall, Chairman and Chief Executive Officer of Chemed's VITAS Healthcare Corporation subsidiary.
 I will now turn the call over to Kevin McNamara. 
Kevin McNamara: Thank you, Holley. Good morning. Welcome to Chemed Corporation's First Quarter 2024 Conference Call. I will begin with highlights for the quarter, and Mike and Nick will follow up with additional operating details. I will then open up the call for questions.
 We are very pleased with the strong operating metrics at VITAS in the first quarter of 2024. In the quarter, our admissions increased 4.5% over the prior year period. These strong admissions continue to drive higher patient census. In the first quarter of 2024, our average daily census, or ADC, expanded 1,835, an increase of 10.3% when compared to the prior year quarter and 1.6% when compared with the fourth quarter of 2023.
 VITAS' continued improvement in operating metrics as a result of our continued strength in hiring and retaining licensed staff. In the quarter, net bedside headcount increased 173 licensed professionals. This exceeded our internal projections for the quarter, which more than offset the slight weakness we experienced in the fourth quarter of 2023.
 Now let's turn to Roto-Rooter. As we discussed during our first -- fourth quarter earnings call, we knew the first quarter was going to be a tough comparison for Roto-Rooter. The nationwide deep freeze at the beginning of 2023 resulted in 6 consecutive weeks of record revenue for Roto-Rooter. Not surprisingly, this phenomenon did not recur in 2024.
 Overall, our call volume was down 9.1% when compared to the prior year quarter. Close rates at the call center at the time of dispatch and when our technician reaches the customer location remained consistently strong compared to historical levels. Residential revenue at Roto-Rooter declined 3.5%, while we're still seeing demand headwinds related to consumer sentiment and concerns about macroeconomic environment. The residential revenue decline was within our range of expectations for the first quarter.
 As a result of changes made with various aspects of Google search algorithms, Roto-Rooter temporarily increased spending on paid advertising in late 2023 and early 2024. This additional market expense is the major cause of Roto-Rooter's lower margins in the first quarter of 2024. Commercial revenue declined 10.5% during the quarter, which was a disappointment to us. Some of the same issues we discussed related to residential revenue, including difficult comparisons, macroeconomic concerns and Internet marketing disruption also impacted commercial revenue.
 As Mike will discuss in further detail, we also had more demand than we could service during the pandemic. As a result, our branch personnel did not spend as much time cultivating commercial relationships as we historically have dedicated to that part of the business. We have analyzed the causes of the decline and are executing strategies to improve commercial revenue performance.
 To summarize, we are pleased with the continued strong results at VITAS. Our growth in licensed health care professionals, strong admissions and corresponding growth in patient census have returned VITAS to normalized operating conditions.
 As Nick will discuss further, we're also excited about the recently closed acquisition of Covenant Health and Community Services. We believe this will be a big win for us, both on an operational and financial perspective for 2024 and beyond. We believe Roto-Rooter is still well positioned despite the difficult operating conditions that it faces. Roto-Rooter maintains its core competitive advantages in terms of excellent brand awareness, customer response time, 24/7 call centers and aggressive Internet presence. 
 With that, I would like to turn this conference over to Mike. 
Michael Witzeman: Thanks, Kevin. VITAS' net revenue was $354 million in the first quarter of 2024, which is an increase of 14% when compared to the prior year period. This revenue increase is comprised primarily of an 11.5% increase in days of care and a geographically weighted average Medicare reimbursement rate increase of approximately 2.6%.
 The acuity mix shift negatively impacted revenue growth 60 basis points in the quarter when compared to the prior year revenue and level of care mix. The combination of Medicare Cap and other contra revenue changes increased revenue growth by approximately 50 basis points.
 Average revenue per patient day in the first quarter of 2024 was $203.8, which is 212 basis points above the prior year period. Reimbursement for routine home care and high acuity care averaged $177.67 and $1,074.78, respectively. During the quarter, high acuity days of care were 2.8% of total days of care, a decline of 10 basis points when compared to the prior year quarter.
 Adjusted EBITDA excluding Medicare Cap totaled $60.7 million in the quarter, an increase of 67.2%. Adjusted EBITDA margin in the quarter excluding Medicare Cap was 17.0%, which is 544 basis points above the prior year period. The expense attributable to the retention bonus program in 2023 resulted in a 370 basis point improvement in the 2024 margin.
 Now let's turn to Roto-Rooter. Roto-Rooter generated quarterly revenue of $235.2 million in the first quarter of 2024, a decrease of 5.8% when compared to the prior year quarter. Roto-Rooter branch residential revenue in the quarter totaled $162.9 million, a decrease of 3.5% from the prior year period. Roto-Rooter branch commercial revenue in the quarter totaled $53.7 million, a decrease of 10.5% from the prior year. As Kevin mentioned, this was below our expectations for the first quarter.
 The commercial business is experiencing some of the same issues we have seen with residential revenue in the first quarter, including a difficult comparison with prior year and continued Internet marketing challenges. We also continue to face some of the issues related to certain of our retail customers.
 In addition to those factors, during the pandemic, we had more demand than we could service. As a result, our branch personnel did not maintain as much focus on cultivating commercial accounts as we historically have maintained. Accordingly, Roto-Rooter has embarked upon a company-wide push to reemphasize the behaviors that are necessary to develop and retain commercial customers.
 We are increasing the number of touch points with key accounts, both through our national call centers and locally in each branch. We have also implemented strategies to maximize revenue for the leads we do currently receive by training our commercial technicians to be acutely aware of upselling opportunities at every job they perform. We believe that some of these strategies should provide short-term help while other efforts will take longer to show results.
 Adjusted EBITDA at Roto-Rooter in the fourth quarter -- in the first quarter of 2024 totaled $60.7 million, a decrease of 15.6% compared to the prior year quarter. The adjusted EBITDA margin in the quarter was 25.8%, which is 299 basis points below the prior year period. As Kevin mentioned, the decrease in margins was driven mainly by higher Internet marketing costs. Before the end of the first quarter, we reduced our overall marketing spend back to more historical levels, and as a result, we anticipate an improvement in operating margins starting in the second quarter.
 I will now turn this call over to Nick. 
Nicholas Westfall: Thanks, Mike. I'm very pleased with our continued sustainable expansion of our workforce and patient capacity through the first quarter of 2024. As Kevin mentioned, we expanded our bedside headcount by 173 licensed professionals during the quarter. The first quarter of '24 marked our seventh consecutive quarter of expanding our clinical workforce capacity. In the first quarter of '24, our average daily census was 19,665 patients, an increase of 10.3% when compared to the prior year and an increase of 313 or 1.6% sequentially.
 VITAS has generated quarterly sequential ADC growth over the last 6 quarters. On the last day of the quarter, March 31, we had over 20,000 live patients on service, which was an exciting milestone for VITAS. In the first quarter of '24, total VITAS admissions were 16,911. This represents a 4.5% increase when compared to the first quarter of '23 and represents an increase across all 4 of our reported preadmit segments.
 In the quarter, our nursing home admissions increased 4%, assisted facility admissions expanded 2.1% and hospital-directed admissions increased 3.2% and our home-based patient admissions expanded 12% when compared to the prior year period.
 Our average length of stay in the quarter was 103.9 days. This compares to 99.9 days in the first quarter of '23 and 105.9 days in the fourth quarter of '23. Our median length of stay was 16 days in the quarter and compares to 15 days in the first quarter of '23 and 17 days in the fourth quarter of '23.
 As previously announced, we completed our $85 million acquisition of certain assets from Covenant Health and Community Services on April 17. Our teams are currently hard at work in integrating the operations of Covenant. I am pleased to say that approximately 680 patients were reevaluated for eligibility and chose to transfer on the VITAS service as a result of this transaction. We have also successfully retained practically all of Covenant's licensed workforce who were identified during diligence as part of the transition.
 The Covenant transaction could not have been accomplished without the unwavering commitment, dedication and focus of each of our existing and new VITAS team members, what they showed during fulfilling our mission in every community we serve.
 This transaction illustrates what is possible when 2 long-standing mission-focused organizations collaborate irrespective of tax status to ensure we collectively serve the evolving needs of our communities. This opportunity was born out of the relationships and mutual respect amongst our organizations.
 I would like to thank the Board of Directors and executive team of Covenant for ensuring a continued focus and cultural alignment that allowed for the integration to proceed seamlessly. I believe these types of opportunities should continue as the hospice and palliative care industry carries on its 45-plus-year mission across the country of focusing on the patients and families and the communities we serve without allowing for items like tax status to impede progress.
 To recap what our team has accomplished, we've now generated 7 quarters of sequential net growth in licensed health care workers and 6 quarters of sequential growth in ADC. We now have a sustainable and predictable approach to continue methodically building our clinical capacity and patient base that has taken us past our pre-pandemic levels and forward into '24 and beyond. We have also demonstrated the ability and interest in partnering with other providers through acquisitions to ensure communities continue to receive the best possible care.
 With that, I'd like to turn the call back over to Kevin. 
Kevin McNamara: Thank you, Nick. I will now open this teleconference to questions. 
Operator: [Operator Instructions] Your first call comes from the line of Ben Hendrix of RBC Capital Markets. 
Michael Murray: This is Michael Murray on for Ben. Roto-Rooter call volume has declined in the high single digit, low double digit range for the past 4 quarters. Obviously, you grew a lot during the pandemic and you're going up against tougher comps. But how much of the weaker call volume is attributable to the weakening consumer? And how should we think about this for the rest of 2024? 
Kevin McNamara: Well, let me just jump in there. Let me -- misery loves company. Let me say that what we're seeing through basically everyone who we talk to in the sector, we see softness in the sector which is, as you say, could be pandemic comparisons, could be people had a lot of work during the pandemic, which drained the swamp, as it were. I don't know. I mean -- but I'll just say that the sector has weakness, generally speaking.
 We don't want to go into it too much. But because of this weakness, a key marketer, Google, made some changes to their service offering. That is when we call up, let's say, plumbing Cincinnati. They made some significant changes, which I will bore you with in what shows up on the phone, had the effect of spreading the meager number of calls across a much broader base that had an impact almost immediately late last year in our call volume and we're dealing with that.
 In this quarter, we had -- desperate times meant measures. We did a lot of paid search, which is now relegated to the third level which is, first, there's a section that we call the LSA. Then we have a map that we have paid search, we dramatically increased aggressive bidding in the paid search, which we said temporarily.
 We wanted to test the limits of the benefits of that. And we -- they weren't there. And so we pulled back that extra advertising as it were, which had that -- which we referred to as a temporary impact on the Roto-Rooter margins.
 But we're fighting a new battle. It's a little bit like when they change the -- when people basically went to the Internet instead of going to the yellow pages. We had a dominant position in the yellow pages, and that was gone because people no longer went through the yellow pages. 
 And with the Internet marketing, it took us a while, but we've developed a dominant position on the Internet. And again, with changes in various algorithms, it's a new battle which I'm of confident Roto-Rooter will be the winner again. But it's -- if you see from any of our verbiage, I mean, it's a little bit outside of our hands.
 Our operational metrics at Roto-Rooter have never been better. I mean, our -- we've got our price increase. Our manpower is good. Our close rates are good. We're just -- we've got to get the phone to ring. Now that's all on the downside.
 The good side is that the fact that there's difficulty, generally, we've never had a better environment for buying in the kind of the relatively small Roto-Rooter franchises that are always kind of on our list to buy. They're suddenly becoming available because of the softness. So we'll try and take advantage of it and then do the blocking and tackling that will load us up to the top of the -- on the Internet appearance network.
 But it's a slog. I think that when you look at what we're doing, I mean, some of the negatives in Roto-Rooter for the quarter, I think, were temporary. And we're taking actions that I think are much more likely to bear fruit. Mike, anything to add on that? 
Michael Witzeman: Yes. I think it's hard for us to put a number -- a specific number on what we think the consumer sentiment, consumer demand, macroeconomic environment is causing. But as Kevin said, we have a lot of indications that we are certainly not the only home residential service provider that's struggling, not only from people outside of the Roto-Rooter network.
 But also we know our franchises are struggling, as Kevin mentioned. We know that our contractors are struggling. The other thing I would tell you is we see this struggle across all 5 of our regions. It's not sort of at one region or centered around one location in the country, all of which is to say we do definitely think that there are still consumer headwinds that we're facing that are underlying some of the softness in demand. 
Michael Murray: Okay. That's really helpful. Just one more on Roto-Rooter, multi-part question. So last quarter, you said that commercial customers were coming to you asking for significant price decreases, which caused you to walk away from some jobs. Obviously, if those were nondiscretionary, those were going to someone else. Are you still seeing this?
 And then just the next part, at the same time, Roto-Rooter, you guys saw significant margin expansion for the past few years. Do you see -- do you think the margins need to go back down to where we saw them in pre-pandemic 2019, 2020 levels in order to drive revenue growth? And then how should we think about the balance between revenue growth and margins for Roto-Rooter? 
Michael Witzeman: Sure. On the retail thing that we mentioned at the -- in our February call, retail is definitely still part of the problem. It's still down... 
Kevin McNamara: Commercial. 
Michael Witzeman: Commercial, yes. Commercial retail business is still down. It's still part of the problem. But as we kept asking questions and delving into it, we discovered it's a little bit of a bigger issue than just the retail sector. 
Kevin McNamara: That's the first part. In other words, that was the first group that was struggling. And I think that one which we -- it seemed like it's stuck out like a sore thumb. Is that continuing? Yes. And I think that -- just to give you an example, An element of a big property manager gets struggling, sees bills like this and says, maybe I'll try hiring my own plumber or maybe I'll try a discount plumber. And what we've seen with those situations over time is people try those and there's a lot of reasons why a company like Roto-Rooter is a better option for them.
 But going through that period where people are trying -- are continuing to try other things. And we first saw that with a large -- some of our large commercial customers. But it was more -- they were first, but it was more pervasive than we saw in the early stages. But we're -- it's a battle. We've owned Roto-Rooter for 44 years, and they've always kind of risen to the fight. And no reason we wouldn't have a lot of confidence in that.
 With regard to margin, first, we have to adjust for the excess marketing costs that we had in the quarter. Again, I think that if you ask us, we guided to a margin for Roto-Rooter, there's no reason we don't -- we think that at this point, there's any reason to change that guidance with regard to that margin. 
Michael Witzeman: Right. The first quarter, by far, the primary issue with the EBITDA margin was certainly the marketing costs, as Kevin mentioned. Obviously, with revenue lagging a little bit, we might not be quite to the high level of the margin range that we had given, but we're certainly going to be within the range, we believe, particularly given that, as we've mentioned many times in the past, our -- most of our technicians are commission based. So we're quite variable cost-based company. And so we're not quite as sensitive on a marginal percentage to decreases in revenue. 
Michael Murray: Okay. That's really helpful. Just shifting to VITAS. So really strong ADC growth. How did that compare to your internal expectations? Obviously, this is partly a byproduct of last year's retention program and better referral partnerships. But is there anything else to highlight here? Any changes in the competitive landscape? 
Nicholas Westfall: Yes, sure. The first quarter slightly outperformed our internal expectations regarding overall census growth. The one thing I just want to highlight and reinforce, while we referenced the retention program that goes all the way back now, we're in 9 months since the expiration of that. So while that formed a catalyst associated with it, all the activity that built the cultural enhancements, the things we've talked about over the last quarter has what's allowed it to continue to perform absent that program being in place for what is 10 months right now with great performance.
 So from an outlook standpoint, I feel very good about it and feel very good about the census outlook, not only with same-store operations but the successful integration of Covenant that has been occurring over the last week or so. So I feel very good about the remaining forecast for '24 and beyond.
 Regarding other competitive factors, I don't think there's anything necessarily new and unique in the first quarter other than sometimes success tends to compound upon itself, and we're seeing that and experiencing that. And so when you start thinking about the ability to continue to very strongly attract new team members to come to the organization, they're looking at it and really seeing a place in which is hitting on all cylinders but, just as importantly, has a very strong cultural tie that's led to continued improvement in retention. And so it's sort of compounding upon itself, which is a great situation and what gives me the confidence I was referencing about before. 
Michael Murray: Awesome. Just one last one on VITAS. You made your first sizable VITAS acquisition in quite some time. Congratulations. What was the census that you added from the acquisition? I think you mentioned 600. Was that the census we should think about adding moving forward? 
Nicholas Westfall: Yes. So what I referenced in the transcript was 680 patients transferred, which is not the exact same thing as census or days of care translation with it. We'll provide -- we'll include some of that with an anticipation from an updated guidance at the end of the second quarter. But I wouldn't just think of it as a onetime step-up that you add into your model because we have other opportunities as we think about the existing markets that we overlap with Covenant as well as the new markets for us to deploy our approach that allows us to not only increase admissions but also look for opportunities to educate those communities of referring patients earlier in their disease trajectory to us that would allow for overall days of care expansion as well.
 So I feel very encouraged about the outlook for those markets, the outlook of the acquisition, it being immediately accretive and what it will mean for the remainder of '24 and into '25 and beyond. 
Michael Witzeman: The 680 is basically the starting point to be able to start calculating live patients. 
Michael Murray: Okay. And just a quick follow-up. Could you talk a little bit about the hospice M&A environment? How are valuations? And are you continuing to look at opportunities? 
Nicholas Westfall: I'll start at the end of that question, which is yes, continue to absolutely look at opportunities. Valuation ranges. Obviously, there's a larger range, and a lot of it has to do with the circumstances of those existing providers, the markets in which they operate as well as whether it is a platform or whether it is just a desirable location that maybe has restrictions around accessing the market that really influence those multiples.
 With all that being said, not just multiples from an attraction standpoint, but really the environment which we're in is a lot of providers looking at their outlook and where and how they're operating today.
 And for many providers, particularly those that have been in the business or in the industry for very long, and that's why I go back to long-standing mission-focused providers, I think it's one in which we're looking amongst one another around that mission and cultural alignment to find the right partnerships. And so it's less about multiple components as it is what's the right partner to look to continue to fulfill that mission and service the community.
 And we think we're very well positioned. And obviously, my opinion is biased, But we do things the right way. We have since our founders founded not only the hospice benefit, but VITAS as part of itself. And so we believe we're really well positioned, which lead us to continuing to look at those opportunities. 
Michael Witzeman: We would be interested in any opportunities, but as Nick mentioned, particularly in restricted states. Particularly Florida, we would be even more interested. 
Operator: The next question comes from the line of Joanna Gajuk of Bank of America. 
Joanna Gajuk: So I guess I have a couple of follow-ups here. So maybe first, we didn't talk about guidance. So maybe you can frame to us. It sounds like VITAS was better, Roto-Rooter was lower than your internal. But how would you characterize overall at the consolidated level against the results versus your internal expectations? Because in the press release, you said you reiterated guidance. So should we read into this as saying that Q1 was roughly in line or maybe it was inside the range? So maybe let's start there. 
Kevin McNamara: Again, there's another element that is -- we don't give quarterly guidance. We give yearly guidance and sometimes the -- compared to, let's say, analyst estimates. They tend to more -- not necessarily exactly align with our seasonal expectations. But I'll say, if you just wanted to -- starting at the end, Mike, and free to jump in, We think we were about $0.12 a share below what we would've expected.
 And again, we didn't change our guidance. We don't give quarterly guidance, but again, that's not that much of a hill to overcome. And we will change our guidance, but it's just -- it was certainly a blip that's very unusual for us. We don't have many quarters where we're below analyst estimates. But more importantly, we were, say, about $0.12 to $0.13 below our own expectations. So Mike, if you have anything to add. 
Michael Witzeman: Yes, Joanna. I think that at the moment, with the VITAS outperforming, with Roto-Rooter may be a little disappointing but certainly plans in place, we didn't feel like changing our range that we gave back in February made a lot of sense. Having said that, there's no doubt that, as Kevin alluded to, that in the second quarter, we're going to change certainly the components of how we get to that range, and certainly the range might change.
 But at the moment, given the differing ways that VITAS and Roto-Rooter are going, we didn't have any reason to say we don't think that, that original range was still within the realm of reason. 
Joanna Gajuk: Okay. That makes sense. And I guess the other piece of this, I assume, is the deal that you closed, right, in mid-April. So I assume you're going to include it in your updated guidance. So thank you for giving some color on the top line when it comes to the number of patients and potential offset over time.
 But how should we think about margins there? Because obviously, this asset was a nonprofit. So I would assume that maybe different margin profile there. And so how do you think about how quickly those margins will kind of get to the VITAS segment level, essentially? 
Nicholas Westfall: Yes, Joanna, as you alluded to, we will include it in our second quarter update. When you think about outlook from a marginal expectation standpoint, realize of the markets, 2 of them we already operate in. And so there's a lot of operational opportunities that are included inside of there.
 And then similarly, the ways in which we approach the market may be slightly different than how, in this instance, Covenant did. So we were prepared and making investments and we have all of that modeled inside of our internal guidance and feel very good about it.
 So from -- to answer your question on overall marginal profile, it's going to look relatively similar once it's all integrated in. And given the size of what we're talking about compared to the overall enterprise, it's not like there's some material impact to overall company marginal outlooks because of the deal on a go-forward basis. It's one that is very opportunistic for us, and we're just excited about servicing the existing communities as well as the new communities we entered into last Wednesday. 
Michael Witzeman: Our models at the moment, we -- I would tell you that because of some of the uncertainty just with the integration, the short-term integration costs, I would tell you that '24, we've been a little conservative from a margin perspective. But going forward past '24, certainly we expect margins to come in line to the rest of the VITAS company as well. 
Nicholas Westfall: When you think about SG&A, whether -- and you get into call centers, back office, et cetera, all those operations are able to be folded in immediately without any incremental investment. So as with any acquisition, that's the opportunity. 
Kevin McNamara: They have a shorter ADC -- average length of stay. So the margin would be a little bit lower. 
Nicholas Westfall: Yes. As I alluded to with the previous question for Michael, I think we have an opportunity for day of care expansion as we look at execution of our strategy to help the community and the referral sources better identify patient eligibility earlier in their disease trajectory. So we're very encouraged about the outlook of that acquisition. And just as importantly, just as excited about bringing on those team members that are now part of our VITAS family going forward. 
Joanna Gajuk: Okay. So I guess it sounds like the margins will look pretty close to the [ similar ] margin in '25. So I guess, would you say, is it going to be kind of exiting '24, kind of already close to that margin? Call it, I guess, Q4 is also the best quarter of the year. But I guess, it sounds like you're going to get there fairly quickly. 
Nicholas Westfall: Correct. It will be integrated very quickly. Our team is doing a fantastic job with that. And as we've alluded to, we won't manage -- we'll manage the business around how we've approached every other aspect with it and feel good about the predictability of marginal outlook. 
Joanna Gajuk: And obviously, with your balance sheet and cash flow, it sounds like you have a lot of room to do more of these, it sounds like -- is it fair to expect a couple of more this year? 
Nicholas Westfall: I don't think we -- as we never have, we wouldn't set any expectations. But as you allude to, balance sheet is pristine and opportunities absolutely are out there. And hopefully, they come to fruition that have the same alignment like we're talking about now. And it's why I also referenced, it's not just the traditional transactional component.
 It is also long-standing providers that are now no longer looking at tax status as a relevant impediment and looking to just align organizations so that they can evolve their needs and mission to continue to serve the communities we've all signed up for, for 40-plus years. 
Michael Witzeman: We're very bullish on the pipeline, the potential for these kind of deals over maybe not just '24, but the next 18 to 24 months. But we're very bullish on the potential to be able to do these kind of deals over the next couple of years. 
Joanna Gajuk: Right. And guys, to your point earlier around -- I guess the market is, I guess, open, so to speak, their assets for sale. And I guess it ties to my other question -- last question around VITAS around the hiring. So very impressed there. The bonus program is long over, but you're still doing pretty well there. So I guess what's happening? Are you hiring away these nurses and other clinicians from your competitors from some other hospice agencies or maybe they are still kind of in this way? Or are you seeing these workers maybe coming from other setting? 
Nicholas Westfall: Yes. It's a little bit of everything, to be quite honest, and it's somewhat market-by-market specific. But what I will say is the strength of our candidate pool has never been stronger and our continued focus on retention of our existing staff is exactly the same way. So we feel really good about the outlook and our ability to continue to methodically add team members when and where we need them to support our growth forecast.
 And as you see in the first quarter, we outperformed just our internal quarterly growth forecast. And hiring and retention will not be an impediment towards growth on a go-forward basis. And demand from a referral standpoint is still extremely strong. 
Joanna Gajuk: If I may, on the Roto-Rooter side, a couple of follow-ups. On the commercial, so that revenue much worse. You said you have some plans in place already to remediate some of these issues. And it sounds like some are maybe faster to kind of [indiscernible] versus others. So any way to help us how to think about when, I guess, you would expect to see the benefits of these remediation actions? 
Kevin McNamara: Well, Joanna, let me start by saying that we've pinned a lot of our problems on macroeconomic issues over the last 12 to 16 months. On the residential side, we think that those issues are beginning to abate, the macroeconomic issues. The -- it seems to be lingering on the commercial side for a variety of reasons, which we implied. 
 But the things that we said were going to change, they're largely -- I mean, if you put it -- let me just -- I'll simplify it. Commercial accounts tend to take a lot more handholding. It's more communication. They expect to be moved to the top of the queue when their problems are more important than anybody else's. During the pandemic when we had more demand than we could deal with, that type of customer was difficult to deal with given the shortages in resources.
 I would say that -- if I would summarize most of our plans, it's going back to what we did do, the more of the handholding, the more of the emphasis on the importance of commercial work. Those projects have begun -- have already begun. And again, we expect them to bear fruit. They historically did. And when you combine that with what we see generally improving, not back to normal but improving macroeconomic operating level, we're looking at the relative short term for improvements on the commercial. Mike, anything else? 
Michael Witzeman: Yes. As Kevin said, the handholding and the touch points at a local level with commercial -- potential commercial customers, that's going to take a little bit of time. But to illustrate the point of some things that we're doing and we're hoping that it will help in the short term, we're now sending, for instance, cameras along with every [ jetting ] opportunity we have to clean a sewer and drain. And we've never done that before.
 We're hoping that helps almost immediately start driving add-on sales. And we're starting to implement that program and we're going to see how that goes. So as we mentioned in the script, there are some short-term things we're hoping that we can almost immediately start driving at least some improvement. And then the handholding and the macroeconomic things that Kevin is talking about are a little bit longer term. 
Joanna Gajuk: And I guess, the other piece in that segment you talk about on the margin side, right, so like some of the revenue is not there, which I guess should be reflective in the EBITDA because of the commissions and how, I guess, these employees are reimbursed. But I guess, the margins for us, it sounds like advertising cost, but then you kind of lowered that at the end of the quarter or by the end of the quarter, it was more normalized. So should we expect the segment margin to essentially bounce back close to 28% or so in Q2? Is that what you're trying to tell us? 
Kevin McNamara: Yes. Definitely. 
Joanna Gajuk: Okay. And I guess, kind of a longer-term question in terms of just, yes, this Roto-Rooter weakness. It sounds like there's some macroeconomic things that are normalizing there or maybe improving there. And then the other, I guess, situation you identified, you're trying to remediate. How does this continued weakness, I guess, in the segment change your view of the long-term growth potential for this business? 
Michael Witzeman: It doesn't change our long-term growth potential outlook at all. We -- Roto-Rooter is a great business, very strongly positioned, the best brand name in the industry. We don't have any long-term concerns about the outlook for Roto-Rooter. 
Operator: This now concludes the question-and-answer session. I would like to turn it back over to Kevin McNamara. 
Kevin McNamara: Thank you. I just wanted to thank everybody for your kind attention. And we've got some things to work on, but as we've indicated, I think matters are well in hand. Thank you. 
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.